Operator: Welcome to Century Casinos' Q4, 2017 Earnings Conference Call. This call will be recorded. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. I would like to introduce our host for today's call, Mr. Peter Hoetzinger. Mr. Hoetzinger, you may begin.
Peter Hoetzinger: Good morning, everyone, and thank you for joining our earnings call. With me on the call are my Co-CEO and the Chairman of Century Casinos, Erwin Haitzmann; as well as our Executive Vice President of Finance, Margaret Stapleton. Before we begin, we would like to remind you that we will be discussing forward-looking information, which involves a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings, and we encourage you to review these filings. In addition, throughout our call, we refer to several non-GAAP financial measures, including but not limited to, adjusted EBITDA. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our news release and in the filing from this morning, are also available in the Investor section of our website at cnty.com. We will now provide a brief review of the company's financial results for the fourth quarter and full year 2017 and following our prepared remarks, there will be a Q&A session. 2017 was a good year for Century Casinos as we generated all time record revenues and all time record adjusted EBITDA. Erwin and I are very pleased with these results, but we are even more pleased with the state, the shape and condition of our company which is a result of a very efficient team effort of the great people we have in our offices in Colorado Springs and Vienna and at casino property level. All of them are very talented and engaged, striving for continued improvement in everything we do. Ultimately that leads to better experiences to our guest, to better results and to increase value for our shareholders and other stakeholders such as our lenders and the communities we operate in. For the year, net operating revenue came at $154 million, up 11% over 2016. The Canadian operations increased revenues by 13% and adjusted EBITDA by 9% in local currency. Our casinos in the US grew 7% on revenues and 11% on adjusted EBITDA. Poland's revenues were up 4% for the year, and adjusted EBITDA was down significantly which has to do with the six year licensing cycle for Polish casinos. More color on that later when we discuss the Polish operations in more detail. For the fourth quarter, net operating revenue was $39.3 million, up 8% over Q4 of 2016. Canada remains our strongest segment generating 39% of our consolidated revenue and two thirds of our consolidated adjusted EBITDA. Canada grew revenues by 26% for the quarter; adjusted EBITDA was up 16%. Looking at the Canadian results in more detail, our largest property the Century Casino & Hotel - Edmonton which offers 822 machines and 35 gaming tables showed flat revenues. EBITDA grew by 30%, the EBITDA margin jump from 35% to 39% despite the minimum wage increase that took effect on October 1st. The Century Casino St. Albert also located in the Greater Edmonton area had a very good quarter too. Revenue was up 10%, adjusted EBITDA up 17%, EBITDA margin increased from 29% to 31%. In the Calgary market, our Century Downs Racetrack and Casino increased net operating revenue by17%, EBITDA grew by 2%. The reason for the lower EBITDA growth is additional operational and payroll expenses associated with setting up the newly introduced urban racing. As of now because of the setup costs being absorbed -- being absorbed in Q4, the EBITDA margin at Century Downs already back to normal north of 40%. Results of our other property in that market the Century Casino Calgary are also very encouraging. Revenue increased by 5%, adjusted EBITDA by 24%. On our last earnings call, we reported about the main changes we initiated at that property including new top management. As well as the introduction of mini-golf and other feminists and arcade games. And it seems we are on the right track with these changes. The US operations in Colorado contributed 20% of our revenue and 21% of our consolidated adjusted EBITDA. The Century Casino & Hotel – Central City increased revenues by 9% and adjusted EBITDA by 11%. The Cripple Creek property was up 4% and 9% respectively. Very solid performance driven by increases in all departments, as well as good cost controls. We continue to see a positive regional economic outlook in Colorado; the unemployment rate is down to 3%. We anticipate continued modest growth due to strong focus on customer service, player development and consistent in fan promotions. Over Europe, our casinos in Poland generated 39% of the company's total revenue and 13% of our consolidated adjusted EBITDA. Between the summer of 2017 and the summer of 2018, we have a number of our casino licenses expire for which we have already or will reapply. During that process, we see lower revenues because some casinos will close until re-licensing and higher costs because we keep the leases for the casino provisions in place and also keep most of the staff on payroll. Having said that, business volumes at the existing casinos are strong. The drop at the gaming tables was up 3% and the slot machine revenue was up 15% in the fourth quarter, quarter over the fourth quarter of 2016, but unusually low table hold it was 13.9% this quarter versus a more normal 22% last year, as well as extra cost and lost revenue associated with re-licensing but all negatively impacted adjust EBITDA in the fourth quarter alone by approximately $2 million. We know the situation probably can be complicated at times, but we are really happy with the strength and performance of the existing operations. If you add the $2 million to EBITDA you see really strong numbers and high growth rates we've generated there. In about September of this year, the re-licensing round should be over and done with and normally EBITDA margins should picking again. After that the next bunch of licenses expires in 2022. Now a quick look at our balance sheet. Total asset grew by 26% to $275 million. Our total debt of $56.7 million includes $38 million related to our Bank of Montreal credit agreement, $15.5 million related to the Century Downs long-term land lease, and $2.7 million for the new project in the city of Bath in England. Our total debt to adjusted EBITDA ratio sits at 2.2. Book value per share increased to $6.13. CapEx during the quarter was $1.6 million or 4% of revenues, spent mainly on building improvements at the two Calgary operations and gaming equipment for the Cripple Creek casino. Last November, we raised $34.4 million net in an equity offering at the price of $7.50 per share which was an 11% discount to the 30 day average stock price prior to the offering or a 4.5% discount based on the 60 day stock price average prior to the offering. We will use the majority of the funds to complete our most significant and largest project to pay the Century Mile Racetrack Casino in Canada at Edmonton International Airport. Let's now go over all projects under development starting with Century Mile. As most of you know, we have been selected and approved by Horse Racing Alberta, and by the Alberta Gaming and Liquor Commission to own, build and operate the horse racing and gaming entertainment facility in South Edmonton, which is named Century Mile. So far we've spent approximately $7 million on the development and with 85% of all tenant packages is in, we expect to be on budget which is CAD$60 million or about US$40 . In addition to the equity, we are putting into this project; we're in the midst of increasing our credit line with Bank of Montreal to cover the balance. We plan to open all facilities of the project in the early 2019. It'll be a multi-level building with a footprint of 48,000 square feet, initially accommodating 550 slot machines, restaurants, bars, daily and off-track betting parlor and the grandstand plus convenient parking for over 1,700 cars. Just for comparison that building will be about 50% larger and the footprint will be almost twice the size of our successful Century Downs facility in Calgary. This would be the only one-mile racetrack in Western Canada and we are particularly excited about this location, it couldn't be better. You are an Edmonton International airport land, right off of Queen Elizabeth II highway which is the second biggest highway in Western Canada. We're next to an Ivanhoe Cambridge regional shopping mall, Cosco retail centre, golf course and a cluster of hotels and restaurants all in the south of Edmonton which does not have any casino right now. In fact, the nearest casino will be about 20 miles to the north. The current Racetrack and Casino Northlands Park will close when ours will open, which means that our existing casino in the north east of the city will greatly benefit because Northlands Park is currently its closest competitor and that will fall away. It also means that our new casino will not bring additional capacity to pay at local gaming market. Therefore, we believe that our ambition of generating EBITDA return of over 25% on that US$48 million investment has a really good chance of success. Over in Europe, we have acquired a casino project in the UK in the city of Bath, one and a half hours west of London. The purchase is 100% ownership of Saw Closed Casino limited. The company that has the exclusive license for casino in that market. It also has a 30 year lease agreement with the landlord of a micro level mix leisure development including a 147 room hotel and various restaurants in the center of the city directly opposite the very popular theater Royale. Acquisition price of $766,000. In addition, we will invest about $7 million for the design and fit out of the 15,000 square feet casino space which will accommodate 18 gaming tables as well as around 60 gaming machine and live gaming terminals. The entire City of Bath is a UNESCO World Heritage Site and draws about five million tourists every year, more importantly the immediate catchments area includes close to 200, 000 deeper, and we are the only casino in that area. We plan to open at the end of May just over two months from now and expect again an EBITDA return on our investment of at least 25% once the property has fully ramped up. Finally, our casino management project in Bermuda seems to gain some traction. Last year together with the owner of the Hamilton Princess Hotel & Beach Club in Hamilton, Bermuda, we submitted an application for a casino at that hotel. The casino will feature approximately 200 slot machines, 17 table games plus electronic table games in the high limit area form prevailing. The Bermuda government has now issued a provisional casino license to our group which is subject to certain conditions and approvals including the adoption of certain rules and regulations by the parliament of Bermuda. Whilst they have no estimated timeframe on when this will be completed or if it will be completed or they've entered into a long-term management agreement with the owner of the hotel to manage the operations of the casino and to receive a management fee once the final license is awarded. We will also provide a $5 dollar loan for the purchase of casino equipment if the license is awarded. All right that's the end of our presentation. Thank you for your attention and we can now start the Q&A session, operator. Please go ahead.
Operator: [Operator Instructions] Our first question comes from David Bain of Roth Capital. Please state your question.
David Bain: Hi, guys, I just-- so I'm clear on Poland, the history of CPL or since you've acquired it, has there ever been a time or how many times have you not had a license renewed?
Peter Hoetzinger: Erwin, can you chip in on that? Maybe let me start, the company Casinos Poland is the name which we own two thirds of has started operations in 1988 with the casino at the Marriot Hotel in Warsaw which is the number one casino in the country. And that license has been in place continuously since 1988. Most of the others as well but maybe Erwin for details you have that.
Erwin Haitzmann: Yes. Where it matters we always said, like you indicate, continuity. Also in the countryside, we have lost one of the other licenses, if we had not gotten back first and we decide for other ones and we got those. So I think in short the important ones we were always able to either keep or renew.
David Bain: Okay and so do they typically let these expire before going through a renewal process? Because I haven't seen the disruption before.
Erwin Haitzmann: No, no, that's new and we hope it won't be forever. I mean we obviously-- we and union representatives I spoke yesterday diplomatically can be to hopefully change it, but it's not in our hand.
David Bain: Okay and then can you discuss what actions you took that led to that nice year-over-year, quarter-over-quarter margin increases at Casino Edmonton? And then any other margin initiatives underway for further flow through either at that property or some of the others?
Erwin Haitzmann: Basically we always I would say as a matter of fact we take the [Indescernible] then go through the details and more likely than not we always find something. And then that's probably related the only thing I could say here.
David Bain: Okay and I guess just final I saw the press release on the free shuttle that will take patrons from the Edmonton Airport, International Airport's to the Outlet mall to Century Mile, obviously that creates a nice traffic flow potential. Are there any details that you would have on number of trips or expected passenger counts or is there anything like that at this point or is that too freshly designed?
Peter Hoetzinger: Yes. It's too early. Yes, we haven't seen any detail yet. Actually too early literally but what the airport officials what they want to do is they want to really create a day trip destination for people in Western Canada. There's lots of smaller communities that have this small commuter planes going in Edmonton International airport from within like 45 minute - one hour distance and with all these amenities at the airport, they want to market this for people to fly in the morning, do their shopping, had their fun at the racetrack, go to restaurants, maybe even play golf and then fly out in the evening or the next or the next day and not even go to the city center, Edmonton. They think that there's really a market in that and obviously if they're successful it's even better for us.
Operator: Your next question comes from Brad Boyer of Stifel. Please state your question.
Brad Boyer: Thanks for taking the questions guys. First one here, I just want to make sure that I heard you correctly Peter on the Polish margins. Were you saying that they're still going to be some noise there until you kind of get into the September timeframe of this year?
Peter Hoetzinger: Yes, yes.
Brad Boyer: Okay and so we should expect to see kind of some continued pressure there through kind of the first half of this year is that fair?
Peter Hoetzinger: That's fair to say, yes.
Brad Boyer: Okay and then second going back to Poland could you just give us an update on kind of how things are ramping at the Hilton Warsaw that would be helpful?
Peter Hoetzinger: Yes. It's continuing to ramp up as anticipated, sometimes the ramp is like in the between 20% and 30% over the previous month, sometimes it's between 20%; it's always a nice double digit ramp. And as I said we had the two issues in Q4. One is for this re-licensing cycle that the normal pressure on margins because of the higher costs that we have keeping the premises in place and staff in place for those casinos that are under the re-licensing review. But we also had this really low whole situation and that cost us about $2 million just for the quarter if you move back in the Poland EBITDA would have increased by about 25%. So overall we are really okay with the strengths of the casinos that are up and running.
Brad Boyer: Okay, that's great and then the last one for me it would just be around sort of your intermediate to longer-term growth initiatives. Just wanted to see if you could provide some perspective there. Obviously, you guys have a decent amount on your plate here with the Mile, but just curious if you could share some perspective on kind of how you were thinking about growth initiatives beyond Mile and the Bath project at this point? Thank you.
Peter Hoetzinger: We expect to be able to announce at least one exciting additional growth project this year. We hope for it to be coming online this summer. And then obviously Bermuda is also collecting around and coming with each other teams that there is plus new some traction that project as well. But always in the basket there is one more that is really close to be completed and that should be only within a few months from now.
Operator: Your next question comes from Mike Malouf of Craig Hallum Capital. Please state your question.
Eric Stine: Hi, guys, this is Eric on for Mike. Thanks for taking my questions. If I could just drill in a little bit more into Poland. I know it's kind of talked about it a bit already but if you could go over the your respective timeframe of when you feel you might hear back on those licenses and remind us how many licenses are kind of in limbo right now?
Peter Hoetzinger: Erwin please.
Erwin Haitzmann: Yes. We have opened this deal already on June 15 this year and we plan to open Katowice in April and Wroclaw in April and then on the pending applications are one for Warsaw, one for Plock, Lodz, Krakow and Poznan.
Eric Stine: Okay, great and then what kind of confidence you guys have that let you get those renewed and then what kind of revenue run rates might we be able to expect once those are back up and running?
Erwin Haitzmann: Lodz, Krakow, Poznan and Plock, we had already in our portfolio and we would assume that the revenues would --the history would be a good indication and good basis for calculating for making assumptions about future revenues, and with regard to Warsaw, you also know the Warsaw now-- that's right.
Eric Stine: I am sorry
Erwin Haitzmann: You're also familiar with our Warsaw numbers that we're doing now.
Eric Stine: Right, okay, so I guess you know the better way to phrase it no real expected change from historical numbers when those get back up and running despite the list of the sort of strengths you guys have experienced in your current operations?
Erwin Haitzmann: No, hopefully we can always -- we said earlier we always try to grow but it would be -- we would operate in essence the same premises so yes we wouldn't really expect a whole different .Having said that, Katowice always our second best market after Warsaw. So we expect that to have a real good intake starting in April and also Katowice should be contributor.
Eric Stine: Make sense, great. And then if I can ask about the impact to Century Downs and the expected impact to Century Mile of that existing racetrack closing if you go over the time frame of that closing? Again, I think you said when Century Mile is expected to open so Q1 I suppose but if you just talk about the incremental impact to the to current ratios that you have?
Peter Hoetzinger: This is two separate markets. One is in Calgary, this is where Century Downs is operating and has been for over two years. There will not be any impact on that facility from the closing of Northlands Park because Northlands Park is in Edmonton which is three and a half hours north and it's really a completely separate market is almost no overlap. Now I have said that within the Edmonton market, the existing racetrack Northlands Park is very close only a few minutes from our Century Casino Edmonton and the Century Casino Edmonton will substantially benefit from Northlands Park closing because they operate over 500 machines very close to our casino. And that we believe it will have an impact of approximately, well a double digit revenue impact probably between 10% and 20% which is fantastic because that should go right through to the EBITDA line. And that will happen when we open Century Mile which is in the south of Edmonton.
Eric Stine: That's great and then final question for me if I could ask you about the Bath Casino in UK. I know you are trying to open that in the end of May. What kind of revenues might we be able to expect from that? You mentioned the 25% EBITDA return but if I can I just drill down on the top line a bit that will great.
Peter Hoetzinger: Yes. All in all, we have about $8 million in and we expect 25% EBITDA return. So that's about between 2 and 2.5 and the EBITDA margins that we expect to generate there also in the mid-20s. So the revenues should be around 10.
Operator: There are no further questions at this time. I'll now return the call to Mr. Hoetzinger.
Peter Hoetzinger: Thank you, everybody. Thank you for your interest in Central Casinos and your participation in the call. For recording of the call, please visit the financial side section of our website at cnty.com. Goodbye.
Operator: This concludes today's conference call. Thank you for attending.